Operator: Ladies and gentlemen, thank you for standing by, and welcome to BigCommerce’s Third Quarter 2021 Earnings Call. At this time all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. Please be advised that today’s conference is being recorded. I would now like to turn the conference over to your first speaker today, Daniel Lentz, Head of Investor Relations. Thank you. Please go ahead.
Daniel Lentz: Good afternoon, and welcome to BigCommerce’s third quarter 2021 earnings call. We will be discussing the results announced in our press release issued after today’s market closed. With me are BigCommerce’s President, CEO and Chairman, Brent Bellm; and CFO, Robert Alvarez. Today’s call will contain forward-looking statements, which are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements include statements concerning financial and business trends, our expected future business and financial performance and financial condition and our guidance for the fourth quarter of 2021 and the full year 2021. These statements can be identified by words such as expect, anticipate, intend, plan, believe, seek, will or similar words. These statements reflect our views as of today only and should not be relied upon as representing our views at any subsequent date, and we do not undertake any duty to update these statements. Forward-looking statements, by their nature, address matters that are subject to risks and uncertainties that could cause actual results to differ materially from expectations. For a discussion of the material risks and other important factors that could affect our actual results, please refer to the risks and other disclosures contained in our filings with the Securities and Exchange Commission. During the call, we will also discuss certain non-GAAP financial measures, which are not prepared in accordance with generally accepted accounting principles. A reconciliation of these non-GAAP financial measures to the most directly comparable GAAP financial measures as well as how we define these metrics and other metrics is included in our earnings press release, which has been furnished to the SEC and is also available on our website at investors.bigcommerce.com. With that, let me turn the call over to Brent.
Brent Bellm: Thank you, Daniel, and thanks to everyone for joining us on our third quarter earnings call. On today’s call Robert and I will review our third quarter results. We’ve had an exciting and eventful quarter, and I’m pleased to share updates in a number of key initiatives and milestones for our company. I will provide several updates today, including product development progress, strategic partnership wins and update on a recent acquisition of Feedonomics and finally a recent capital raise. To conclude today’s call, we will give an update on our fourth quarter and 2021 full year guidance. Let’s begin with a brief recap of our Q3 financial results. We experienced another quarter of accelerating growth across our business. Revenue increased to $59 million, up 49% year-over-year, including $5.9 million from Feedonomics. That represents the seventh straight quarter of 30% or higher revenue growth. These results reflect the success of our Open SaaS strategy and progress across a number of company priorities, including enterprise sales growth, international expansion, B2B headless use cases and omnichannel advertising and selling enablement. We finished Q3 with ARR, or annual revenue run rate, at $253.5 million, up 52% from last year. Our enterprise account ARR finished at $159.9 million, up 78% year-over-year. And finally, ARR for accounts greater than $2,000 in annual contract value, or ACV, finished at $222.3 million, up 65% year-over-year. Our strategy remains focused on providing the world’s most flexible Open SaaS platform to power the growth of businesses of all sizes. Omnichannel selling and demand generation is central to this. Our acquisition of Feedonomics provides industry leading feed integration and optimization capabilities to a hundred plus leading channels around the world. These channels include search engines like Google, marketplaces like Amazon, Walmart, Wish, and Mercado Libre and social networks such as TikTok, Facebook and Instagram. We empower each merchant to build their e-commerce in their own way, including accessing the best sales and marketing channels for the unique needs of their businesses and shoppers. To help investors better understand the size, growth profile and merchant count of Feedonomics, we will provide visibility into the impact that Feedonomics has upon several of our key business metrics for this and our Q4 operating results. Feedonomics ARR finished the quarter at $32.9 million, up 61% over the same period last year, while customer accounts with greater than $2,000 in ACV grew 22% to 1,057 during the quarter. Customers include many household names such as Dell, Puma, Allbirds and Samsung. We are already seeing encouraging results in our cross-sell efforts with existing BigCommerce merchants and our omnichannel partners view our acquisition as enhancing Feedonomics leading position and global feed management. Note that we remain committed to the open part of our Open SaaS strategy. With respect to Feedonomics, this means we’ll invest to enhance our leading omnichannel feed capabilities while supporting their ability to serve merchants using any platform, including ones that compete with BigCommerce. Similarly, BigCommerce will continue to fully support our many preexisting omnichannel partners, including those who provide alternatives to Feedonomics. This open approach maximizes partner and customer success within our ecosystem. Yesterday, we announced an exciting integration and partnership with TikTok that gives matching advertising credits to qualifying merchants, encouraging them to test and explore TikTok for business. With an estimated 1 billion monthly active users, Tiktok is a uniquely positioned ad channel for customer acquisition and engagement. Merchants can directly access the TikTok for business app via the BigCommerce Channel Manager creating a one click experience to place the TikTok pixel, upload products and ultimately begin producing ad campaigns. In October, we announced our new ads and listings on Google native app, which enables merchants to connect their stores to the Google merchant center and add products for free. They can also take advantage of Google ads campaigns to reach more customers and uncover performance insights and trends, driving brand awareness and GMV growth. This is yet another example highlighting our growing partnership with Google. During the quarter, we also announced our partnership with Sezzle as our preferred partner to provide small and mid-market merchants the ability to offer interest-free buy now, pay later plans. This is a viable alternative to traditional credit card payments, particularly among the growing demographic of younger shoppers with limited credit history. As we cultivate our partner ecosystem, we continue to invest in our core platform capabilities. BigCommerce began as a SaaS e-commerce platform for small businesses, but our disruptive innovation strategy expands our capabilities to serve even the world’s largest and most complex businesses. We do so at far lower cost in the legacy e-commerce platforms. I’m excited to announce that in Q3, we released Multi-Storefront to select merchants and partners, and we expect this much anticipated product enhancement to be fully available to merchants in early 2022. With this release, customers can now use a single BigCommerce account to build and launch multiple unique storefronts. These storefronts can be either powered by BigCommerce’s native stencil design and theme framework, or merchants can use a third party headless solutions such as Next.js, Contentful, Contentstack and WordPress to name a few. Merchants managing brand portfolios have already used this functionality to launch unique storefronts for each brand, such as VANITY GROUP, an Australian company that supplies, hotel, bathroom amenities. Multi-Storefront also enables merchants to sell into multiple countries to use unique storefronts for each country. Merchants that sell into multiple segments like B2B and B2C are also using this to build unique storefronts for each customer segment. This marks a significant milestone in our platform’s ability to serve the most complex use cases of small and large enterprises alike. We will continue to focus our R&D investments in our core platform in the future building on this success with additional multi-store and enterprise functionality. Multi-store has been a major focus of our product development efforts in recent quarters. And I’m thrilled to bring this powerful capability to all merchants on our platform soon. At the beginning of Q3, we launched full localization of merchant and shopper experiences in support of our formal market entry into Italy, France, and the Netherlands. This includes localized trial flow, control panel, storefront, transactional emails that are sent to shoppers and payment solutions. This rollout is a meaningful step for merchants in those countries and others looking to expand their European presence in a seamless fashion. Merchants, appreciate the ease and speeds with which their market expansion stores can come online. What used to take upwards of a year can now be built in as little as a few days or weeks. We continue to see strong growth in the number and size of international merchants on our platform. In October, we entered into an enterprise partnership with CMA CGM Group’s NewOxatis, a leading publisher of ecommerce solutions based in France and a world leader in logistics with over 20 years of experience. This will enable thousands of NewOxatis merchants to build world-class digital storefronts powered by BigCommerce. This partnership will equip merchants with online stores that are fully integrated with information systems, ERP and product information management software, along with CRM and marketing tools. Our partnership with NewOxatis demonstrates the momentum behind our geographic expansion as it comes quickly after launching in France at the beginning of Q3. Now is the time to increase our investment in geographic expansion and Robert will speak to this in more detail later in his remarks. We had a number of notable brands launch on BigCommerce in Q3, including GoreWear the producer of innovative, functional cycling and running performance apparel. UK-based luxury shoe brand Grenson; Royal Swinkels Family Brewers, a Dutch independent family brewer of beer since 1680; Blackberry Farm, a top rated hotel and resort situated on 4,200 acres in the Great Smoky Mountains of Tennessee; Eye Promise, a scientifically supported eye vitamin company and Australian merchant Adelaide Tools, who has specialized in the sales and service of name brand power tools since 1949. In addition, we had thousands of merchants joining us for our Annual Make it Big Conference in September, which highlighted opportunities for merchants to grow their businesses through the power of the BigCommerce platform and partner ecosystem highlighted by Mark Cuban a keynote speaker. Excitement around the BigCommerce brand is increasing and we see that reflected in growing recognition from analysts such as Gartner in their 2021 magic quadrant for digital commerce platforms. BigCommerce also earned recognition from paradigm as a top-rated SaaS platform for B2B eCommerce by scoring 16 total medals, including a gold rating for total cost of ownership for the second year in a row. Finally, I would like to discuss our recent capital raise and thoughts around M&A. Robert will provide more color on the bond offering later, but I would like to thank the investors in various parties that assisted us with the transaction. We saw a strong opportunity to raise additional capital at favorable terms, and we experienced robust demand from the investment community. This additional capital gives us plenty of operating runway for our expansion plans. It also provides capital for smart M&A that enhances our business. We see two main areas of focus within our M&A strategy. First, targets that would significantly accelerate our key strategic priorities. And second, targets that would enhance our core open SaaS offering in terms of enterprise functionality and open architecture. As an example, our acquisition of Feedonomics accomplishes both. It catapults us to a leadership position in omnichannel commerce enablement, which is one of our top strategic priorities. And it makes our platform the most open, optimally connected platform to a hundred plus leading global advertised and marketplace channels. We will continue to explore M&A opportunities as part of our growth strategy and pursue candidates that we believe could deliver acceleration against strategic and/or open SaaS platform priorities while staying true to our open approach to our partner community. We are in the midst of a multi-year strategy to up the ecommerce platform industry and shape the next era of ecommerce. There was much to be proud of in Q3. And I’d like to thank all of our employees and partners for their contributions. We are pleased with our progress, but this is just the beginning. Our goal is to build the best ecommerce platform in the world, thereby enabling businesses to thrive at all stages of their ecommerce growth. We consider Q3 to have been an excellent quarter of progress toward the big goals we have in the years ahead. And with that, I’ll pass it on to RA.
Robert Alvarez: Thanks, Brent. And I appreciate everyone joining us on the call today. I’m pleased to share the details of another strong quarter for BigCommerce in Q3. Today I’ll walk you through our third quarter financial results, provide color on our recent capital raise and update you on our fourth quarter guidance. Please note that all amounts below include the results and activity of Feedonomics from the date of acquisition, through the end of Q3 on a consolidated basis. I would like to reiterate my gratitude to the team for another outstanding quarter. Bottomline we’re seeing continued strength across our business. And now have a strong balance sheet to deploy capital towards accelerating our key strategic priorities, setting us up for multiple years of growth ahead. In Q3, total revenue was $59.3 million up 49% year-over-year, and includes $5.9 million of revenue contributed by Feedonomics. Subscription revenue grew 59% year-over-year, while partner and services revenue or PSR was up 30% year-over-year. Revenue in U.S. was up 47% compared to 59% across our combined international operations. Our global platform is seeing tremendous growth, particularly outside of the U.S. International expansion progress has been tremendous thus far. EMEA revenue was up 68% in Q3 as we added investment in existing markets and expanded our enterprise selling capability into new countries. APAC was up 55% in Q3, and we are also evaluating additional expansion opportunities in this region as well. Moving to our KPIs, we saw continued acceleration across various metrics, underlying our core business. For example, annual revenue run rate, or ARR grew to $253.5 million up 52% year-over-year, driven by healthy, organic growth and the addition of Feedonomics business to the BigCommerce portfolio. Feedonomics posted an ARR of $32.9 million, up 61% year-over-year. ARR from accounts with greater than $2,000 in ACV grew 65% to $222.3 million. Enterprise account ARR grew 78% year-over-year to $159.9 million in Q3. And enterprise accounts represented 63% of our ARR as of September 30, compared to 54% last year. We’re making steady gains in the growth of our enterprise segment, and we feel good about the sustained progress we’re making, especially as our multi-store offering becomes generally available in early 2022. In the last few years, we have built incredible momentum in our enterprise business. Even when you adjust for the strong contribution from Feedonomics, organic enterprise ARR still grew over 50% in Q3, and that is on top of 48% growth a year ago. We’re really proud of the fact that we added record incremental enterprise ARR from Q2 to Q3 on an organic basis. As a matter of fact, the incremental organic enterprise ARR quarter-over-quarter was almost three times the incremental enterprise ARR from just seven quarter ago. Enterprise accounts have grown from roughly half to almost two-thirds of our total ARR just in the last couple of years. We’re confident that we can drive enterprise ARR as a percentage of total ARR higher and higher. And we now have line of sight to enterprise ARR getting to three quarters of total ARR. This will build even stronger unit economics in our business with low churn, higher LTV to CAC and better net revenue retention as we shift our revenue mix more and more towards mid-market and enterprise accounts. As Brent mentioned earlier, this is just the beginning for BigCommerce. We are still in the early innings of our goal to become one of the leading e-commerce companies in the world. We have a strong differentiated product, a disruptive strategy that is resonating with merchants and partners and healthy margins and unit economics that we need to scale this business to meet that goal. We are pleased with our results in Q3, especially as we lapse such a strong quarter last year and remain committed to make strategic investments to fuel our continued growth opportunities. Shifting to the newest member of the BigCommerce portfolio, I’ll walk you through the results of Feedonomics. I’m impressed by the progress we’ve made thus far, integrating our systems and organizations. The BigCommerce and Feedonomics teams are partnering closely to develop products to boost our offerings and improve the merchant’s e-commerce experience. And we are excited to bring growing omni-channel capabilities to our current and future merchants. We’ve been pleased with the strong retention trends post acquisition, and are encouraged by the early cross-sell success and interest from our tech and agency partner, community. Moving to core accounts with ACV greater than $2,000 at the end of Q3, we had 12,378 customers over this threshold, up 2,601 accounts or 27% year-over-year. This reflects both our growth in our organic business and the inclusion of Feedonomics merchant base as well. Feedonomics customers largely fit the enterprise profile of our merchants and we believe we will have strong opportunities to expand Feedonomics into our base over time. Total accounts with ACV greater than $2,000. Now make up 88% of our total ARR, a 7% increase over the same time last year. ARPA or average revenue per account for accounts with ACV greater than $2,000 was 17,960 up 30% year-over-year. We saw three primary drivers of this improvement, a strong mix of mid-market enterprise accounts, healthy expansion in PSR and the inclusion of Feedonomics mid-market and enterprise merchants. We’re making steady progress at the higher end of the market, bringing on new mid-market and enterprise customers each quarter, while our pipeline continues to expand across all the markets we serve. Let’s shift our focus to the expense portion of the income statement. Please note that unless otherwise noted all references to our expenses, operating results and per share amounts are on a non-GAAP basis. Gross margin increased approximately 80 basis points year-over-year to 80%. In Q3 gross profit was $47.2 million up 51% over Q3 2020. We are focused on building scale and efficiencies to maintain our strong gross margins. Feedonomics is margin profile is lower than BigCommerce due to higher service cost, but we expect consolidated gross margins to remain in the high 70s as we expand that portion of our business. Our sales and marketing expenses totaled $24.1 million up 31% over last year, amounting to 41% of revenue improving by nearly 600 basis points from last year. We’ve made steady progress, bringing on incremental headcount and resources to support our teams. The labor market demand remains robust and the job market is tight. Our plan is to ramp up our end international segments in the coming quarters and continue to scale our North America team as well. We are taking the necessary steps in recruiting and hiring to ensure we can meet those objectives across all geographies. In Q3, research and development expenses were $14.9 million or 25% of revenue compared to $11.5 million and 29% a year ago. While we aim to build increasing leverage in the business, we remain focused on building out the disruptive product innovations necessary to continue our market growth and expansion. As such, we expect to build operating leverage in R&D over time while we continue to prioritize investment in this area as a strategic focus. General and administrative expenses were $12 million or 20% of revenue compared to $8.5 million or 21% of revenue a year ago. In Q3, we posted a non-GAAP operating loss of negative $3.8 million or a negative 6% operating margin, compared to negative $7.2 million or a negative 18% operating margin in Q3 2020. Adjusted EBITDA was negative $3.1 million or a negative 5% adjusted EBITDA margin, an approximately 1100 basis point improvement from negative 17% a year ago. Non-GAAP net loss for Q3 was negative $4.2 million or negative $0.06 per share compared to negative $8 million or negative $0.16 per share a year ago. Our improved leverage was a function of both planned efficiency improvements and under spending in a few areas. Q3 spending fell below our initial expectations as we continue to see savings from delays in return to office, minimal business travel, and also from our pace of hiring new roles relative to the number of roles we are adding. We believe some of these savings will be temporary and are building our 2022 plans accordingly. We ended Q3 with $410 million in cash, cash equivalents, restricted cash and marketable securities. For the nine months ended September 30, 2021, operating cash flow was negative $31.5 million down from negative $23.2 million a year ago. Free cash flow was negative $34 million or a negative 57% free cash flow margin compared to a negative $25 million and a negative 62% free cash flow margin over the same period a year ago. During the quarter, we issued convertible senior notes for $345 million at a coupon of 0.25% and a conversion premium of 37.5% or effectively a conversion price of $73.11 per share. Net proceeds from the offering totaled $335 million. And we plan to use these proceeds for general corporate purposes. We use $36 million of the net proceeds from the notes to enter into privately negotiated cap call instruments or cap calls with certain financial institutions. The cap calls have the economic effect of increasing the conversion price from $73.11 to $106.34 per share. And these instruments are generally expected to reduce potential dilution to the holders of our common stock or offset cash payments we could otherwise be required to make an excess of the principle amount of the notes upon conversion. Upon conversion, we have the flexibility settling cash, shares or any mix of cash and shares at our election. Finally, let’s close with guidance for Q4. For the fourth quarter of fiscal 2021, we expect total revenue in the range of $61.3 million to $61.7 million translating into a year-over-year growth rate of 42% to 43%, including an expected $7.1 million to $7.3 million in revenue from Feedonomics. For Q4, our non-GAAP operating loss is expected to be $8 million to $9.2 million, as we ramp up our hiring and make plan investments to close 2021 and build momentum into 2022. For the full year of 2021, we currently expect total revenue between $216.2 million to $216.6 million translating into a year-over-year growth rate of approximately 42%. Our non-GAAP operating loss is expected to be between $19.2 million and $20.4 million. Since the IPO, we’ve accelerated revenue growth from the low-20% range to the high-40% range quarter while materially improving operating leverage. As Brent mentioned earlier, we believe now is the time to make the investments needed to capitalize on our momentum and growth opportunities. We’re well capitalized and committed to deliver durable growth rates as we head towards profitability. The shift towards online commerce is structural, and we are confident in our strategic focus areas and ability to grow this business over the long-term. With that, Brent and I are happy to take any of your questions. Operator?
Operator: Certainly. [Operator Instructions] Our first question comes from the line of Terry Tillman from Truist Securities. Your question, please.
Terry Tillman: Yes. Hey Brent, RA and Daniel, thanks for taking my questions. Congratulations on the upside and the quarter. Two questions. The first one is related to the organic enterprise ARR momentum. I think you said it was above 50%. I’m not necessarily holding you to maintaining a five handle growth, but just generally speaking, the enterprise ARR momentum, can you – is this sustainable and how important is multi-storefront as we move into 2022 around this enterprise AR and then I have a follow-up?
Robert Alvarez: Yes. I mean, Hey Terry, yes. I mean, if you look at the last four quarters, we grown our enterprise ARR north of 50%. So really excited about that. The – we are thrilled with the announcement of kind of native multi-store becoming general available early next year. I mean as you know, we’ve been working on that for quite some time. We think it’s going to be a big needle mover for us. We think we’re going to get more opportunities more at bats with that capability. And it’s something merchants and partners have been asking us for. And we couldn’t be more excited about the impact that that could have for us next year. So just look at the last four quarters north of 50%, can’t promise that it’ll always be north of 50%, but yes, I mean, we’re – we’ll definitely see an uptick on multi-store as that plays out throughout next year.
Terry Tillman: That sounds good, RA. And I guess my follow-up question relates to the exciting recent news with Amazon and Mercado Libre. Maybe we could just get an update on that in terms of when that is generally available and what kind of feedback you’re seeing. And as we move into 2022, where do you see this impacting the model, whether it’s direct or indirectly on either software or PSR. Thank you.
Brent Bellm: Both of those are available. Hey Terry, Brent here. The Amazon integration is notable, because they integrated directly into us and it’s equipping merchants who are selling on their own websites, but wanting to use Amazon for fulfillment, the ability to do that, and the Mercado Libre is also live and available. And we’ve seen a lot of interest in initial uptake from merchants in the United States, looking to expand their sales into Latin America.
Operator: Thank you. Our next question comes in line of Josh Beck from KeyBanc Capital Markets. Your question, please.
Alex Markgraff: Hey team, thanks for the question. This is Alex Markgraff on for Josh. I just wanted to check in around the social commerce opportunity. Obviously you have been active here with respect to partnerships. Can you just elaborate on how you’re thinking about the evolution of this channel in the coming years and you think this channel is perhaps in inflecting. Thank you.
Brent Bellm: Yes. Social is super important, both as an advertising channel first and foremost, and secondarily as a selling channel. Facebook alone is the second biggest advertising channel after Google in the United States. And then when you add non-Facebook properties like TikTok, which we just announced we’re super excited about all of these, and that frankly is one of the primary motivators of the acquisition of Feedonomics. So what Feedonomics addresses is the ability for a brand retailer merchant to optimize their ability to both advertise and sell through social networks, in addition to all of the other advertising and marketplace channels, but in particular, to get their product catalog optimized for the specific schema and framework of those individual channels. And so we’re super excited to enable our customers to optimize for Facebook, TikTok, which we just announced. We are in this initial integration with them, we’re offering a bunch of ad credits so that brands and merchants can get started advertising and selling on TikTok and realizing sort of the benefits of that unique community and ability to reach them. As far as we can tell globally, I’ve actually seen some third-party research that estimates that commerce happening through social networks globally is in the low-single digit percentages. And I think that’s a fraction of what the total commerce influences. If you also count advertising and awareness then ends up leading to transactions on merchant websites. I can only imagine that that’s going to grow over time and to levels that I can’t predict probably better than anybody else, but extremely important billion plus users on TikTok that alone is a really critical channel to try to connect to for merchants. Thanks for the question.
Operator: Thank you. Our next question comes from the line of Brent Bracelin from Piper Sandler. Your question, please.
Clarke Jeffries: Hi this is Clarke Jeffries on for Brent. Just two questions on Feedonomics. The first one, how should we be thinking about changes in the online advertising tracking an ID space affecting the Feedonomics business? Is that actually a increase in value for the solution or sort of no change there? And then the second one is, compared to the $11 million expected contribution for the year, it sounds like there was some early out performance. Anything you could point to as driving that. And should we think of that 60% growth rate of a relative acceleration or where the company was at?
Brent Bellm: This is Brent. I’ll take the first one, R.A., the second one. I don’t believe there’s a direct impact on Feedonomics business from changes in tracking and sort of Pexels rules on websites, because fundamentally, the part of the business that Feedonomics is in the scene part of it, meaning getting the product catalog from the source of truth of a brand or merchant into the advertising destination and optimized in the format for that. They are not in the part of the business that is related to either website tracking or ad buying. Although, if you don’t optimize your feed, then anything you spend on ad buying is going to have a much lower return on ad spend. And so it’s really a prerequisite. There may be a secondary effect, which is that as certain types of historic advertising become less viable or less productive than merchants are going to seek out new and additional sources of advertising to make up for that, that really plays to Feedonomics benefits, because once you get your catalog into Feedonomics, they’re then connected to a hundred or more channels around the world, and you can very easily add channels in sort of make up through breadth and depth what you might have lost from other channels based on rules changes. So no direct effect, I don’t think, but the potential for secondary benefits. All right.
Robert Alvarez: Yes. I mean, when we first announced the deal, we thought about Feedonomics just in terms of their ongoing business, but since they supported and continue to support multiple platforms. We did build in some assumptions just around retention. Thankfully, the retention just remains strong for Feedonomics throughout the quarter. The big call outs for Feedonomics is that it’s still early days, but we’re seeing great interests from partners, we’re seeing those cross sell motions, really starting to take hold. The feedback from both partners and merchants have been very, very positive. So we’re really excited about that. We’ve already started the work on building out a self serve flow to take all the great capabilities that Feedonomics has and really offer that up across the base. But in terms of like setting 60%-plus growth assumptions for Feedonomics going forward a little bit premature on that, but I’d say it’s going to grow as much at least as our enterprise accounts. So the vast majority of their accounts are enterprise in the near-term. We expect them to grow at least at the same clip as our enterprise accounts. But overall super pleased big kudos to Feedonomics, the team the culture alignment has been awesome. Product alignment has been great. And we’re really just getting started in terms of what we can do with that business for the benefit of our merchants and our partners.
Clarke Jeffries: Super encouraging to hear. Thank you.
Operator: Thank you. Our next question comes from the line of Parker Lane from Stifel. Your question please.
Parker Lane: Yes. Hi, thanks for taking my questions. Brent, I was wondering if you could comment on the reception too, in progress of the B2B business. I know you announced that earlier this year. Maybe give us a sense of – at the level of urgency you’re seeing from B2B organizations to up level their own ecommerce efforts relative to B2B. Thanks.
Brent Bellm: B2B is going great. It continues to be more than 20% of new customer sales in particular and sort of the mid-market and above, where it’s more easily tracked. I’d remind folks listening in that the very big accelerator to our B2B positioning was the launch of our B2B addition back in May or June. And that basically bundles a half dozen of the most popular product extensions for B2B selling into a single big commerce contract. And basically deployment, that’s been selling extremely well and has been selling well around the world. We also continue to gain a lot of recognition for B2B capabilities. Most recently, paradigm, which is the most focused B2B platform evaluation that happens every year in the United States. This year included big commerce, both in their mid-market and enterprise editions. We won 16 medals out of – I forget how many, maybe like 20 possible, including gold medals and categories like the best cost of ownership for B2B. So very good momentum, very good recognition in B2B, it continues to be an important part of our business that we’re investing to grow. Thanks for the question.
Operator: Thank you. Our next question comes to line of Stan Zlotsky from Morgan Stanley. Your question, please.
Stan Zlotsky: Perfect. Thank you so much guys. Couple of questions from my end. Brent, maybe for you, with the holiday shopping season coming up and obviously everybody’s hearing a lot about supply chain issues. How are your merchants thinking about GMV growth and by extension how are you guys thinking about your PSR growth into the holiday season? And then I have a quick follow-up.
Brent Bellm: I’ll let R.A. talk about PSR growth, in terms of the merchants, it’s not like I’ve talked to enough of them to be able to speak definitively across the board, but with more than 50,000 customers or representative sample. So anything I tell you would be sort of the same on average as the entire U.S., if not global economy. What we’re seeing in terms of GMV though is, it is continuing to increase off of its growth rate off the highs of last year, meaning growth rate sort of hit its bottom back in July and has been increasing in August, September, October. So supply chain issues may be worsening, but we’re seeing at least the year-on-year GMV as we measure it improving. And will that come to a screeching halt in the coming weeks or months? I can’t predict that any better than most people and economists are probably the best ones to consult. R.A. how is this impacting our sort of PSR projections?
Robert Alvarez: Yes. I mean, it’s definitely something that we’re factoring in and paying attention to. But to Brent’s point, we haven’t heard too much from our merchants on this. GMV in July kind of depth a little, but then bounced back in August and then really bounced back in September. So, as we think about Q4 near-term, we’re factoring in just the continuation of those trends, but also factoring in it’s our big holiday season with just some caution just around potential issues. But we feel really good about the guide factoring all those things in. But we ended the quarter much stronger than we started the quarter, which is great and early signs in for October were good.
Stan Zlotsky: Okay. Perfect. And then just as a quick follow-up, I’m jumping up back and forth between calls here. But could you repeat the inorganic ARR contribution from Feedonomics that you picked up in the quarter? I think it was $32.9 million. Is that correct?
Robert Alvarez: That’s right Stan, $32.9 million.
Stan Zlotsky: Got it. So if we backed that out, it looks like and we do the math on the monthly recurring revenue, looks like that ticked down a little bit from 34% MRR to 30% in the quarter. Is there anything one-time in there that we need to be mindful of or is it just a function of looking you lapping the really tough comps on MRR from a year ago. And that’s just it.
Robert Alvarez: Yes. Some of it is the tough comps. I mean, look, we highlighted the fact that enterprise and mid-market was really, really strong during the quarter. Our gross new bookings was really strong, especially when you include the initial MRR from our Oak status, New York deal. We did have some legacy cohort of merchants on our legacy plans that we put onto our standard plans in current plans. We saw some of the benefit in Q2. We saw some of the effects of the downgrades and upgrades in Q3. All of that is behind us now. So it’s not going to affect the go forward, but really strong gross new, really strong mid-market enterprise, had to get through some of that last pricing action. We don’t have any other pricing actions plan, so Q4 is looking good, looking clean and all of that is behind us.
Stan Zlotsky: Got it. Perfect, guys. Thank you.
Robert Alvarez: Thanks.
Operator: Thank you. Our next question comes from the line of Raimo Lenschow from Barclays. Your question, please.
Unidentified Analyst: This is Ravi on for Raimo. Thanks for taking my question. Just want to first start with WineDirect partnership and CMA as well. Maybe you could give an update on each of those specifically WineDirect, because we haven’t heard about it a little while and also how we can kind of think about the two in terms of near and long-term impact. Thank you.
Brent Bellm: Sure. I’ll take that. I mean, WineDirect is not the sort of partnership that you make incremental announcements about. Now that we’re working together, we are doing all of the both structural integrations that facilitate migration of merchants from their platform over to us, as well as net new co-selling to wineries that were not previously using WineDirect. The partnership was off to a great start on the interpersonal level and we’re making good progress on the integration capability. So all’s good on that direction. But you shouldn’t anticipate incremental announcements since that partnership’s already signed in market.
Unidentified Analyst: Got it. Thanks for that. That’s helpful. And then quickly I knew we were expecting a little bit of a benefit – one-time benefit from PSR this quarter. So maybe we could just get an update on if that came in, in line with plans.
Robert Alvarez: It did, right in line with plans.
Unidentified Analyst: Got it. Thank you.
Operator: Thank you. Our next question comes from the line of Samad Samana from Jefferies. Your question, please.
Samad Samana: Hi. Good evening. Thanks for taking my questions. Maybe just – I know R.A. that you don’t want to get into the habit of kind of guiding the two different line items. But just given the differences in seasonality last year versus normal history, just can you help us maybe think about how we should think about 4Q seasonality given all the different moving parts for maybe the two different revenue line items?
Robert Alvarez: Yes. I mean, when you think about subscription in PSR for BigCommerce organic, I think that you could pretty much assume kind of at least the mid to high 20s for both for Q4 is how I’d be thinking about that that split and factoring into comps from last year as well.
Samad Samana: Great, great. That’s helpful. And then maybe as I think about that enterprise – that really strong enterprise account ARR growth, I know that a couple of others have asked about it. But I’m curious should – how should we think about that in terms of the net retention side versus new units contributing to that. And then maybe on the new, are your average starting lands getting larger or kind of consistent with history?
Robert Alvarez: Do you mean average size Samad?
Samad Samana: Yes, yes, exactly.
Robert Alvarez: Yes. I mean, look, I think our book continues to increase nicely. We’re seeing more and more B2B opportunities in the pipe as well as closed one. We are seeing larger and larger accounts that we’re signing as we talked about in the beginning of the quarter. And when you look at the net revenue retention that tends to tick up as that mix continues to shift to mid-market and enterprise. And I highlighted in the earnings release, the pace and the makeshift is happening really, really fast. I mean, just a few years ago, we were 50% now we’re at 63%. We’ve got line of sight to 75%, and with those enterprise accounts comes, stronger net revenue retention, better LTV to CAC, better payback better unit economics. So, I’d say that the pace of that shift is happening faster. A lot of the Feedonomics merchants are enterprise merchants with even higher ARPA. So, we’ve friendly really, really, really good of the trend. We’re really, if you take a step back and you see the pace of that mix shift, we’re really happy about that. And if you actually compare enterprise ARR ending Q3 to ending Q2 it was a record quarter for us at $12.5 million on an organic basis. I mean, seven quarters ago, I mean, that’s 3x, what we did seven quarters ago, just to give you a sense of kind of the pace of acceleration in enterprise, which really excited about and all of that is without the native multi-store that is going to be generally available early next year.
Samad Samana: Great. That’s super helpful. Thanks again for taking my questions.
Brent Bellm: Sure.
Operator: Thank you. Our next question comes from the line of Scott Berg from Needham. Your question, please.
John Godin: I guys, this is John Godin on for Scott Berg. Thanks for taking my question. First, just wondering if you could comment on how conversations with customers and prospects have been evolving over the past quarter, specifically on the international side, now that you have the dominate, the multi-store capability and additional localization effort, are you really seeing any kind of demand or interest in specific areas there or something along those line up on cross border or anything else that would be interesting to call out? Thanks.
Brent Bellm: Yes, I would say by far the most interesting call-out is the traction that we achieved in our first quarter of full official launch in France, Italy, and the Netherlands, recall it was July 1st, first day of the quarter where we did the full launch in those countries where there’s complete localization from marketing websites, through sign-up trial experience, payments, currency templates and everything else. And in that first quarter the most significant announcement we made was with NewOxatis in France. For those who don’t follow e-commerce in Europe, Oxatis has been a leading platform in France, in Europe mid-market and above focused, also small business for a very long time. I recall there being of our top partners at PayPal when I was running PayPal Europe, the 2005 to 2009, and now to have an announcement where we’re working with the owners of new NewOxatis. So in essence, to make the commerce, the platform of the future, migrating those existing customers co-marketing and selling to new customers with them, that’s a very, very significant splash to have made in the French market, right out of the gates. And at the same time, we’re seeing great enthusiasm and initial sales success in Italy. The Netherlands was doing well even before the official launch and has only gained acceleration. So with those first three countries of sort of full, basic localization on the continent off to a strong start, and can’t wait to add countries in Europe and in other continents in the quarters that have thanks for the question.
Operator: Thank you. Our next question comes from the line of Brian Peterson from Raymond James. Your question please.
Brian Peterson: Hi gentlemen, thanks for taking the question and congrats on a really strong quarter. So just one from me, Brent, when you think about the enterprise strength, and we’ve talked a lot about that today. I’d just be curious if anything’s changed in who you’re displacing, and who some of the shared owners may be, and I’d also be interested in how that looks from the B2C versus the B2B side. Because it sounds like that B2B side is really picking up,
Brent Bellm: Correct. There more than 500 platforms around the world, plus all the custom builds, which are unique to each merchant. And the easy thing to say is Magento. Magento is by far the biggest donor platform to us, but in aggregate they’re probably, I mean, I don’t have the specific figure. They’re probably no more than 20% of the mid market and above migrations, an awful lot of custom sites and then a very long tail. I mean, we get sites migrating from every other platform that you can imagine, big, small old, really old it’s really all of them. The point is that as you look forward, that is clearly the future for most merchants. There are three leading SaaS platforms, the three it’s us Shopify and at the high end of the market Salesforce and all three of us are taking share from the rest of them, in addition to competing for net new builds. But the overall trends are not radically different than they have done historically. It’s astonishing how many Magento 1 merchants are still sitting out there on Magento 1, even though that has officially been sunset in terms of its corporate support from Magento. Yes. So I think that answers the question.
Brian Peterson: Thanks Brent.
Operator: Thank you. Our next question comes from the line of Ygal Arounian from Wedbush Securities. Your question, please. You might have your phone on mute.
Ygal Arounian: Okay. Sorry about that. Thanks for taking the questions guys. All right. You mentioned with a multi storefront, that was one of the things that merchants were asking for you – we’re asking from you guys the most. I was wondering if you could just talk to the other things that merchants have been asking about some of the pain points that that they want to be solutions that want to see on [indiscernible]?
Brent Bellm: Yes, I’ll take that. The great news is that we actually kicked off last year. I should say, I got kicked off this year. With partner advisory councils. One for the Americas, one for Europe, one for APAC. And the answer we got from our agency partners was consistent across the three, the two requests they had were both requests that we, I think sort of knocked out of the part this year. One is Multi-Store, which we’ve talked about in this call. The second was B2B capabilities. And at the time they were asking, they did not know that the B2B addition was coming out. It did and that with widespread enthusiasm from our agency partners that doesn’t mean we’ve done everything they want. So we’re still working on two additional things that will be needle movers. We hope in the future. One is a full set of APIs that support all use cases around multi-location inventory. And then finally there’s very advanced use case of a staging environment and that’s something that we like to solve for in the year or more ahead.
Ygal Arounian: Thanks. It’s, it talks give a little bit around the folks have this deal. Probably put the notation there, but can you talk a little bit more about the deal how structured and how brings customers on board, how you share revenue, things like that, any other color around how the deal works?
Brent Bellm: Yes. In some ways it’s similar to the WineDirect deal. That was the biggest one that we announced in Q2. In both cases, you have a legacy leader in WineDirect case in the wine industry and our statuses case in the French market with a home built platform that they realized was not keeping up with the capabilities and investments of a market leader, like BigCommerce. And when they looked around the world and said, are we better off continuing to try to compete and keep our, retain our customers on this sort of old platform or can we modernize the platform partner part in partnership with someone and then focus on all the other things that we’re a leader in. So in WineDirect case, they have all these specialist capabilities for the wine industry, including, sort of checkout and running the point of sale within the tasting rooms, running mailing lists and subscriptions, doing fulfillment in the case of knew our status and their owners in France, they’re world leaders and national leaders as well, then logistics and fulfillment. And so there’s a lot of value added services that they are industry leaders on, but no longer industry leaders for the core platform capabilities. And what thrills us is that, we’re the platform they text because we’re the most open, we’re the most flexible. We really talk about this open SaaS strategy and open SaaS is tailor made for being able to configure and customize to the unique needs of the French market of the wine industry. I don’t think other SaaS platforms could have met all the requirements of these partners. So we were naturally great partners for them, and we’re thrilled that we have aligned strategic objectives and can go forward and compete. So that’s some more background on it status and why we were the winning sets in France.
Ygal Arounian: Okay. So is that sounds safe to say that these kinds of partnerships are ones you’ll continue to explore?
Brent Bellm: Absolutely. Yeah. And open shameless marketing plug, if there are other entities out there with a legacy platform or in search of a go-forward platform partner by all means reach out and talk to us because we’re enthusiastic about these types of relationships.
Ygal Arounian: Great. Thanks for taking the questions.
Operator: Thank you. [Operator Instructions] our next question comes from the line of Ken Wong from Guggenheim Securities. Your question please.
Ken Wong: Hey, fantastic. Thanks for squeezing me and I’ll keep it to just the one. As we think about the Feedonomics performance it looks like a deliberate, a fair amount of upside versus the 11 million for your guide. Can you help us understand kind of what were some of the contributors? Was it just the run rate of that business was better than expected? Was there a lot of cross-selling and then the extent that you can maybe give us a sense for kind of how that, that 11 million full year impact might be revised up down? That’d be fantastic.
Robert Alvarez: Yeah. Hey, Ken, I think when we initially disclosed the numbers for this quarter, we did factor in some churn assumptions, retention assumptions for their base. But we’re really pleased that we ended the quarter and they continue to retain the merchants, anytime, you buy a company, you just never know, especially when they support other platforms, but very pleased on that retention cross-sell. I’d say it started, it’s still early, but it’s just beginning but we’re really encouraged by that. We did, if you think about Q4, you could probably think in the candidate low seven range for Feedonomics, but we’re still just getting started with them in terms of cross-sell, upsell, we’re working on the self-serve flow. Self-serve, won’t probably affect us until next year, but we’re definitely going after cross-sell, upsell opportunities, especially with our base.
Ken Wong: Right. Thank you for all the color there.
Robert Alvarez: Sure.
Operator: Thank you. This does conclude the question-and-answer session of today’s program. I’d like to hand the program back to Brent Bellm, President, CEO and Chairman for any further remarks.
Brent Bellm: Just want to thank everyone again for the interest in following a BigCommerce. This was I think on a lot of dimensions, our most successful quarter, yet as a public company. We couldn’t be more excited about what the future entails in this combination of BigCommerce and Feedonomics. The world’s leading team distribution platform, helping businesses optimize their sales, not just on their branded websites, but through all third party advertising, demand generation and marketplace channels. We continue to want to be the leader in global e-commerce and look forward to the next call three months from now with the new set of updates. Tell them be well and happy holidays.
Operator: Thank you, ladies and gentlemen for your participation in today’s conference. This does conclude the program. You may now disconnect. Good day.